Operator: Welcome to the RRD First Quarter 2021 Results Conference Call. My name is Ashley and I will be your operator today’s call. [Operator Instructions] Please note that this call is being recorded. I will now turn the call over to Johan Nystedt, RRD's Senior Vice President of Finance.
Johan Nystedt: Thank you, Ashley. And thank you everyone for joining RRD's First Quarter 2021 results conference call. Joining me on today's call are Dan Knotts, RRD's President and Chief Executive Officer; and Terry Peterson, our Chief Financial Officer. At the conclusion of today's prepared remarks; Dan, Terry and I will take questions. As a reminder we have prepared supplemental slides for today's call which can be found on the Investors section of our website at rrd.com. As we review our results on today's call, I will be advancing the slides if you are connected by webcast. Alternatively we will periodically reference page numbers from the supplemental slides for those participants, who wish to follow along by advancing the slides themselves. The information reviews during this call is addressed in more detail in our fourth quarter press release, a copy of which is posted on the Investors section of our website at rrd.com. This information was also furnished to the SEC in the Form 8-K we filed yesterday. In addition, we will also refer to forward-looking statements including comments on our financial outlook and strategy all of which involve risks and uncertainties. Therefore our actual results could differ materially from our current expectations. For a complete discussion of the factors that could cause the actual results to differ materially, please refer to the cautionary statement included in our earnings release and the risk factors included in our Annual Report on Form 10-K, our Quarterly Reports on Form 10-Q, and other filings with the SEC. Further, we will discuss non-GAAP financial information. We believe the presentation of non-GAAP results provide investors with useful supplementary information concerning the company's ongoing operations and is an appropriate way to evaluate the company's performance. These non-GAAP results are provided for informational purposes only. Any references to non-GAAP financial measures are reconciled to the comparable GAAP financial measures in the Investors section of our website as part of our press release. I will now turn the call over to Dan. 
Dan Knotts: Thanks, Johan. Good morning, everyone, it's great to be with you and thank you for joining our call today. On behalf of all of us at RRD I hope that you and your families continue to stay healthy and safe. On today's call, I'm going to recap our first quarter results and provide an overview of how we are deploying our extensive capabilities to win new opportunities in what remains a dynamic market. And then before turning the call over to Terry, I will share a couple of recent awards that re reinforced the strength of our brand and the high level performance we are delivering for our clients. Our first quarter results represented a strong start to the New Year, reflecting the scale and breadth of our business model, very solid operating performance and our unwavering commitment to successfully navigate through this challenging pandemic environment. I'm especially proud of the RRD team for continuing to perform at the high level for our clients while protecting the health and safety of our global colleagues. When the COVID-19 crisis emerged a little more than a year ago, we developed an aggressive game plan to strengthen our businesses, amidst a rapidly changing economic environment and very uncertain outlook guided by our strategic priorities to strengthen our core drive revenue performance and improve financial flexibility. Over the last 12 months, the RRD team has been relentlessly executing our game plan and our results for the last three quarters reflect the positive impact of those actions. Highlighted by continued improvement in our organic sales decline trend, solid adjusted April performance against 2020 strong results and a significant improvement in our operating cash-flow versus the prior year, I am pleased with our Q1 operating and financial performance. Further as aligned with our strategic priority to improve our balance sheet flexibility, we recently announced the extension of the maturity date for our ABL credit facility and the refinancing of a significant portion of our 2024 term loans with new senior secured notes. Let me provide a little bit more color on our financials for the quarter. Despite the ongoing impact of the pandemic, our first quarter sales exceeded our expectations back in February, we said that we expected net sales in the first quarter to be between $1.0 9 billion and $1.15 billion reflecting, lower pandemic driven client demand, the conclusion of the census project in 2020 and then exceptionally strong pre-pandemic first quarter of last year. Our net sales in the first quarter were $1.17 billion, which surpassed the high end of our guidance. Organic sales declined 4.3 % further building on the sequential improvement. We reported in the third and fourth quarters of last year and represented our lowest year-over-year decline since the global pandemic emerged. Our improving organic sales trend, reflects both strengthening client demand and our commercial teams success in leveraging our industry leading portfolio of marketing and business communications capabilities to win new clients and expand existing client relationships. Turning to the segments, I am encouraged by the performance of business services, which delivered overall organic sales growth of 2.04%. Importantly, we are capitalizing on emerging client opportunities and strengthening end markets to achieve organic increases in packaging, labels and supply chain services, three of our strategic growth product categories. Marketing solutions report a 22.5 % organic sales decline, largely related to clients to bring marketing, spend midst and uncertain business environment as well as last year since this project, which wrapped up mid 2020. We do expect to see clients increase their marketing spend. as economic conditions continue to improve. We delivered $37.4 million and adjusted income from operations $13 million lower than a year ago, largely due to $11 million of unfavorable foreign exchange, primarily associated with our China operations. The benefit of our ongoing actions to reduce our cost structure, nearly offset the full impact from lower sales, including the census, not repeating and higher incentive compensation reported in the quarter. Through working capital improvements, we reduced the cashews and operating activities by $61 million. And as you've seen with our recent announcements, we continue to rework our debt to give us the flexibility needed, to further expand our capabilities across our print and digital channels. I'm also encouraged by how our sales teams are winning new opportunities emerging from the pandemic, as well as those being created as a result of our client's digital transformation initiatives, as organizations rethink their approach to their marketing and business communication strategies, we are deploying the full scale and breadth of our digital and print capabilities to support their evolving communication requirements. For example, we have a roaster robust pipeline of opportunities across healthcare providers, health insurance companies, and life science organizations, this being driven by the scale and breadth of a regulated supply chain, kitting and fulfillment services capabilities. Recently the state health department looked at RRD to rapidly create and distribute personal protective equipment kits to home healthcare workers. We sourced all the materials, including masks, face, shields, gloves, protective gowns, and safety goggles through our expansive vendor and partner network. We also handled the packaging print materials, kitting fulfillment reporting, and deliver these time-sensitive PPE kits in just four weeks. Building on our supply chain packaging and kitting capabilities. We've rolled out a branded solution for health and wellness kits called care kits by RRD. Our end-to-end solution encompasses kit ideation, design item, procurement, packaging, fulfillment, and communications, both inside and outside the box. Additionally, as direct to consumer sales channels continues to grow in the retail world. We are working with a number of online retailers who are marketing directly to consumers with subscription services that send boxes to customers every month. Subscription boxes and meal kits took off during the pandemic as consumers and lockdown had more time to cook and try new hobbies. Now, brick and mortar retailers, restaurants, and consumer packaged goods companies are investing in home strip subscription services to support and sustain the growing direct to consumer trend in RRD as well-positioned to support our client's needs in this area. The global pandemic has also brought about a number of changes in consumer behaviors with one of the most significant being a shift to e-commerce. As product sales shift online, we are innovating to further expand our creative and technical capabilities to help brands and retailers create rich user experiences and accelerate their go to market speed. Last month, we announced a suite of 3D solutions that features modeling animation, rendering, and interactive experiences to enable simulations and digital prototyping. One use case that's gaining traction is simulating the in-store shopping experience to create highly engaging in immersive experiences for online shoppers. As the spatial web evolves, we are positioning RRD to support our clients in this emerging area, through our suite of 3D solutions. Earning the right to grow with our existing clients through service quality and operational excellence is paramount to driving our revenue performance.  Our business growth with Mann Hummel, a leading expert in filtration highlights our powerful packaging solutions, service and operational performance. RRD, manufacturing -- manufacturers, folding cartons for Mann Hummel, in as one of their highest rating folding carton vendors in their supply chain. Based on our performance in geographic reach Mann, Hummel has selected RRD to be their folding carton supplier for their Mexico operations that we will support through our facility in Reynosa, Mexico. A large non-profit organization also recently awarded RRD a three-year contract for acquisition campaign services, including print management, direct mail, creative design campaign, production, and fulfillment. As part of this contract are the maintains an onsite presence to enable better collaboration with key stakeholders and ensure a smooth coordination and execution for each campaign, we manage hundreds of orders that require the proper production and assembly of multiple components to meet their mailing requirements. All of this long standing relationship, we are delivering cost-effective solutions, while providing this client with maximum marketing flexibility. Before I turn the call over to Terry, I'd like to highlight some recent notable recognition that reaffirms the strength of our marketing capabilities and operational performance. At the beginning of the year, Forrester Research, a leading independent research firm ranked RRD as a strong performer among the top customer Database and engagement agencies. Data management and analytics are critical for customer experience marketers and Forrester found that advanced analytics and reporting are where RRD shines. We also received higher marks for collaboration than any agency in the study. The recognition in the Forrester wave Q1 2021 report is another feather in the cap of our marketing solutions team, reflecting our best-in-class approach to data creative services and marketing technology. We're also excited to announce that our exceptional packaging work with the Pokemon trading card games, zation and Zana box has gotten garnered some important industry recognition. Our packaging solutions team won three best of category awards, including the Sun Chemical Best Packaging Award from the printing industries of the Carolinas. The Picco awards competition is one of the largest printing contest in the nation. And the Pokemon TCG premium collector's box includes special gold versions of the two characters as well as dice, metal coins and booster packs. Finally, our global outsourcing and creative team was recently recognized by the business continuity Institute, a global organization of business recovery experts. The team received two regional awards in India and South Asia for the most effective recovery and continuity and resilience team. Looking ahead, we're seeing solid progress in vaccination rates, consumer competence and economic conditions, but we also know that challenges remain on the path to a full economic recovery. As such the RRD team continues to be intentionally focused on executing our strategic priorities, and we remain confident that we are building a stronger RRD for the future. With that, I'll turn the call over to Terry.
Terry Peterson: Thank you. Dan, our starting to 2021 was strong across the board despite a second consecutive quarter of significant foreign exchange headwinds. Our sales and adjusted income from operations came in at the top end of our earlier estimates with the organic sales decline rate, improving sequentially for the third consecutive quarter. Adjusted income from operations with solid spite on favorable foreign exchange, which provided an $11 million headwind. As a reminder, the first quarter of 2020 comparison was the strongest first quarter adjusted IFO we have ever delivered since the 2016 spin. As most of our global operations had not yet been impacted by the pandemic recent actions to reduce our cost structure, continue to mostly offset the impact of the pandemic. And last year census, we also reported a $61 million improvement in operating cash-flow versus the first quarter of 2020 due, primarily to working capital improvements. In addition, total debt remained unchanged from year end 2020. This is the first time since our 2016 spin, where we have avoided additional borrowings at the end of first quarter, as compared to the previous year end. Lastly, we made significant progress to further improve our balance sheet flexibility. Earlier this month, when we completed an amendment to our ADL credit facility, which extended the maturity date to 2026, we also priced $400 million of new 6.12, 5% senior secured notes, which we close as planned earlier this morning. Most of those proceeds were used to repay a portion of our outstanding term loans, which effectively extended their maturity date to late 2026. I'll talk more about these transactions later in my prepared remarks. But first, let me get started with the review of our first quarter performance, turning to slide 8, net sales were down 3.6% in the first quarter, which includes an increase of $14.5 million due to foreign exchange and a decrease of $6.5 million from the previous closure of our operations in Chile. On an organic basis, we reported a decline in net sales of 4.3%, primarily related to the impact of the ongoing pandemic and last year, since this project, which wrapped up mid 2020,Our organic sales decline represented our lowest year over year decline rate. Since the pandemic effected our global operations. For the segments business services reported another strong quarter with organic growth of 2.4%. We delivered organic growth in several of our strategic product categories, including packaging, labels and supply chain management. While many of our global operations continue to be negatively impacted by the ongoing pandemic our net sales increased in China, more than offset these declines since the operations in China were closed for approximately one month in 2020 due to the pandemic. The recovery from last year's closure, primarily benefited our packaging and commercial print product categories in the year over year comparison marketing solutions reported in organic decline of 22.5% as a result of the pandemics ongoing impact on our client's marketing related spend and the completion of the census project in mid 2020s on slide nine, adjusted income from operations of $37.4 million was $13 million lower versus the first quarter of 2020. And the corresponding operating margin decreased from 4.1% in 2020 to 3.2%. This quarter results for the 2021 quarter were negatively impacted by approximately $11 million due to foreign exchange, which is mostly associated with our operations in China proactive actions to reduce the company's cost structure, nearly offset the impact of lower sales and higher variable incentive compensation. Expense adjusted SGNA expense of $152.9 million in the first quarter is down $5.7 million or 3.6% from the prior year, reflecting our ongoing efforts to lower our cost to serve adjusted earnings per share from continuing operations was $0.08 in the first quarter, as compared to $0.27 reported in the prior year quarter, the reduction was attributable to lower adjusted income from operations and unfavorable income taxes. Our adjusted effective tax rate was 47% in the quarter versus 3.9% in the prior year quarter, which included benefit from the cares act, our gap results for the quarter included pre-tax restructuring impairment and other charges of $5.8 million, which were $5.4 million lower than last year due to lower employee termination charges associated with our 2020 closure. Of the operations in Chile, turning out of the balance sheet and cash-flow on slide 10 as of March 31st, 2021, we had total cash on hand of $262 million and total debt outstanding of $1.5 billion, which remained unchanged from the prior year end availability on the credit facility was $512 million at the end of the quarter and total available liquidity, including cash on hand with $774 million, which was up $644 million at March 31st, 2020 gross leverage ratio of 3.9 times at March 31st, 2021 improved from 4.8 times at March 31, 2020, while net leverage ratio of 3.2 times improved from 3.8 times a year ago. First quarters net cash used by operating activities was $18.9 million, which was an improvement of $60.7 million as compared to the 2020 quarter. The significant year over year improvement was primarily driven by favorable working capital partially offset by lower earnings and LSE bankruptcy related payments, capital expenditures of $13 million for $4.7 million lower compared to the 2020 quarter flight 11 summarizes several key actions. We have taken to improve our balance sheet during the year. Collectively our efforts have yielded a reduction in total debt outstanding of nearly $900 million since 2016, while significantly improving both our gross and net leverage in regards to the pending sale of our printing facility in Shenzhen China, we continue to wait for the required government approvals so we can complete the sale. Once the transaction closes, we expect to record a significant gain on the sale. Today, we have collected $123.3 million in deposits, and we are scheduled to collect one additional deposit of approximately $50 million in 2021. Our contract with the buyer requires them to pay the final installment in 2022. Even if the government's final approval is delayed. If the buyer fails to comply with terms of the agreement or terminated for any reason, RRD is vital to retain 30% of the purchase price in liquidated damages. Slide 12 shows the various maturities of our outstanding debt as of December 31st, 2020, and then March 31st, in addition to the proforma maturities at March after giving effect to the April ABL credit facility amendment, and the closing of our new senior secured notes and the use of those proceeds completing these two transactions represents another significant step forward in our plan to improve our balance sheet flexibility, to better support our strategic initiatives, our expectations for full year and second quarter of 2021 are reflected on slide 13 as the COVID-19 infection rates remain elevated in many parts of the world, we expect the path forward to remain uncertain and volatile as such. We are unable to furnish our typical guidance for 2021. However, I do have the following observations and guidance for 2021 net sales for the year are expected to be flat to up below signal single digits, taking into consideration reductions from the census project and one-time pandemic related projects in the last half of 2020 offset by a modest economic recovery as the year progresses. Net sales in the second quarter are expected to be between $1.1 billion and $1.15 billion up 88 to 13% organically reflecting improvement from the pandemic partially offset by last year census project. Excluding the unpredictable impact from changes in foreign exchange rates and the possible impact from future inflation and labor availability. Non-GAAP adjusted income from operations and the resulting operating margin are expected to be flat to slightly from the prior year as the company continues to benefit from aggressive cost reduction actions. Non-GAAP adjusted income from operations for the second quarter is expected to be up from the prior year, reflecting an increase in volume and continued cost reduction efforts, partially offset by unfavorable foreign exchange of approximately $10 million. Assuming the exchange rates do not change from the current rates appreciation expense is expected to be approximately $135 million for the year. Interest expense is expected to range from $120 million to $125 million. Excluding gap only charges of approximately nine to $10 million, ours associated with terminated note issuance and term loan pre-payment interest expense is expected to reflect benefits. Very non-GAAP effective tax rate is expected to be approximately 35%, which is higher than report partied in 2020 as non-recurring benefits were reflected in 2020. And the benefit from the cares act has hours and the prior year reflecting. Yeah, approximately $80 million for the year and now operator let's open up the line for questions.
Operator: Thank you. We will now begin the question in it. [Operator Instructions]. Andrew, our first question comes from Charles Strauzer with CJS Securities
Charles Strauzer: Good morning. just some of the guidance and Terry me maybe this is for you, but talking about the Q2 adjusted IFO, any additional color there as to how much of an increase you may make see year over year?
Terry Peterson: A certainty with how the Carter will format on an IFA basis. But, you know, I would, I would just really say that, you know, if the increase was conservative and if it's over $10 million, that's probably in the category of achievable, but I'm more on the aggressive side. So that's probably the best color that I can provide on, on how you see, I felt for next quarter.
Charles Strauzer: Great. That's that's helpful and then just to you about the, the China folios, that's still a pending sale any thoughts there?
Terry Peterson: That'd be expected to, I know that's still continues. So we still feel, very optimistic that that will, close, you know, all the work with the Chinese government though, that is in the hands of the developer that is buying the property from us those communications are, are in, in all of that work is being done by them, but we do get regular updates from them. You know, they've continued to make all the RRD deposits on time with us. And we have no reason to believe that the, upcoming deposit for about $50 million later this year, we have no reason to believe that that won't come in on time. 
Charles Strauzer: Great. Great. And then, lastly on the housekeeping if you can tell us the -- what's remaining payment wise there, if you can kind of give us a sense of that.
Terry Peterson: So in first quarter, you know, we had, roughly a little over $9 million of bankruptcy payments there that was largely to settle the, SERP liability for them as part of the bankruptcy, being accepted by the courts. We also had a payment as a result of that settlement of about $2.5 million dollars, again, included in the nine, but, that was for the, the meth plan participants. And then, separately, we have negotiated settlements with, one of the one of the three met plans, and we negotiated a discounted settlement, for that so that, that will result in a payment of a little over $9 million again in the second quarter. So that is a discounted settlement as it's an attractive offer. And we, decided to, to fund that in order to that liability. We did take a there's a $1.7 million gain that's reflected in the non-GAAP results, this quarter for that, but the funding of that will happen in, April or second quarter here, besides that, we have two remaining map plans, with the LLC and, we'll have, you know, you know, some level of funding for that, if it's a few million dollars a year, for, for those assuming that we don't, we don't execute any more settlements, for those, those remaining two plans. And then there is the, you know, we have a small amount of funding related to one lease that we had to, take over, as part of the, as part of the guarantees that we had from the spin time, but it was a lease that was rejected as part of the bankruptcy process. one, one lease there that we'll have a little bit of funding just to terminate that there's, that is, I believe we're past the lease term is a matter of, um, returning the facility to it's previous years.
Charles Strauzer: Great. Thank you for that. And then Dan, maybe this is one for you on the marketing solutions side. Obviously that's been a, you know, the laggard given the pandemic, you know, hitting the hardest, you know, what are you hearing from clients about, and you kind of a return to spending post COVID. I expecting to see some of that ramp in the back half of the, especially with, you know, when you lapsed the, the, census work.
Dan Knotts: Yeah, Charlie, I think, you know, marketing solutions, you know, unlike, you know, some of the areas we've talked about within, within business services, you know, continues to continue to lag that recovery is continuing to extend out. You know, I think, you know, the good news on that in the meantime we are, as I mentioned in, in, in my previous comments that we are pursuing the, the areas that, that, that are recovering faster than we're well-positioned, in leveraging our in flexing our platform to be able to go do that in the interim period as the marketing solutions continues to recover. But I think two things are important, there, and yes, the, the census is obviously impacting the size of those numbers because we're not doing it this year versus the last year, but the, you know, the first one is, is, as you look at consistency of economic recovery, and you look at marketers looking for return on their, on their investment. So having a sustained consistent sustained economic recovery, we do believe based on feedback from clients that as that occurs and they get comfortable, more comfortable, with that relative to unemployment, consumer confidence, consumer spending, et cetera, which all are trending in the right direction that they want to be back in the back in the, in the mail. And we do expect to see that marketing spend increase as the, as the year unfolds, assuming that the economic recovery sustains in a consistent manner, and we don't take steps backwards. So that, that recovery, is lagging, I think the, the economic recovery, but we do expect that to, come forward. And I think the second part of that is dependent upon industry, so it's gonna happen at a different pace depending upon recovery of the industry, right? So as we think about, airlines, and we think about, hotels is very different than some of the retailers, strategies, et cetera, Not-for-profits so I think it's paramount, it's proven it works, you know, they're, they're in a quest for driving their revenue, performance, top line performance as well. and I think as the economy continues to recovery, we recover, we will see a recovery in marketing solutions.
Charles Strauzer: And then when you look at, you know, the other side of the business that, you know, especially in the packaging has been very well and, you know, are you seeing, you know, a pickup in, you know, kind of repeat business over recurring business that, it could carry forward from, you know, some of the kind of one-time stuff that, you know, was related to Covid?
Dan Knotts: Yeah, we don't the on the supply chain side of the chicken there, but the that the good news about that as it connects from supply chain to the packaging and, and labels opportunities as well with the, with a number of those, those clients. So the short answer to that Charlie is yes, we are having ongoing, ongoing conversations with clients about that, and exploring additional and leveraging that platform, and the capabilities of that platform and pursuing new opportunities. but we are having recurring, conversations and do expect to see some degree of recurring revenue. As Terry talked about, we had a lot of, you know, one time items that happened in, instantly a lot of, a number of, several, one-time large, very large projects that happened in the Q4 type timeframe of, of last year. but as we have the current conversations we are having are progressing, and it's talking about recurring business, right.
Charles Strauzer: Thank you very much for taking my questions.
Operator: Your next question comes from Bill Mastoris with Baird.
Bill Mastoris: Hey, well, how are you guys doing well?. Okay. So the first question I have is for Terry and, with the placement of the 601 eight. and, is that going to be really the last, really your debt issuances until maybe we approach 2024? Are we done for a while?
Terry Peterson: We certainly, you know, the, the need to, to do something else at this point is, is significantly a down, obviously with the, the recent transactions. I can never you know, because in all honesty, I mean, the, you know, I probably was a year ahead of myself in terms of with this recent issuance but it was really just driven by, you know, the market conditions that today it was just very, very attractive and it was an opportunistic, you know, placement for us. So I can never say never. but certainly the, you know, the, the, the need to do anything, you know, in advance of, you know, the late 2026 maturities, you know, it's down pretty low right now, but, but again, I'll never say never.
Bill Mastoris: No completely understand. And, with very light, actually, no debt maturities for the balance of this year and fairly light debt maturities for 2022 in 2023. can we safely assume that this is going to be, really handled with free cash flow or proceeds from asset sales or, you know, kind of as a, as a last resort, maybe the ABL, is that a safe assumption?
Terry Peterson: Yeah, that, I mean, those are obviously very small maturities that are coming up the, April, 2021 maturity is behind us now. So, so yeah, I mean, we are really nothing until, you know, tell the February of 22 has come to, and again, each of these upcoming maturity is they're all kind of in the small enough category to just be dealt with, with existing cashflow, proceeds from asset sales and then kind of the last choices, availability on the credit facility. So you've got that nailed. So if you do have excess cash, will you opportunistically maybe go out into the marketplace and repurchase the debt, maybe to kind of, if you will further ease some of the later maturities, you know, I wouldn't go past, the, the, 2024, because, you know, I, I still have a, you know, stub left on the term lawns to take care of if I had, you know, more cash or extra cash above that, you know, my first, my first go-to would be, to do a further repayment, a pre-payment on the term loans you know, those are, you know, the next, you know, medium-sized maturity that that's coming up here and that's January 2024. So I would, I would chip away at that and I'm kind of assuming that I won't be able to get anything notable in the market at a reasonable price on the 23 or the 22, they're just, just not a lot of, liquidity with those. So, so again, assuming that I can to get, anything there at, at a price that, that I've used reasonable, you know, we would look to the term loans to prepay that, which does not require any, any additional costs for prepaying that at par. Okay, great. Next question I have is for Dan and that has to do with, with expand, expanding digital services to capture a larger portion of your clients marketing spend, I mean, are these digital services being expanded with your in-house capabilities, or are they being done in partnerships with outside third parties? How is that evolving? 
Dan Knotts: You know, the answer to that, bill is both, we are continuing to expand our own, in-house capabilities. You know, we mentioned, previously the innovation and new offerings and, and that, that we're, that we're continuing to, to develop in a very concentrated, concentrated area. And I think what's important about that to reinforce is that, you know, the, is that the digital, when we talk about, you know, the ability to expand digital as being complimentary to print, to capture the larger portion of marketing spend is being able to, to, to differentiate ourselves and having that combination of the digital and the physical, to take on more of that, that principle, but it's in a, it's in a targeted, targeted area within the digital world, because digital is obviously a very, broad definition. But, the second part of that is we are absolutely working with the [inaudible] continue to explore additional opportunities to work with a third, a third parties, you know, technology is changing, very, very rapidly, investments are flowing regularly on that as in required as, as technology changes rapidly. So using partnerships to, to stay up with that a bit in those key areas that we think are relevant, for us to partner and build on, or expand our Digital capabilities to support our current, print channel, print channel offering. So the short answer to that is it's a combination of both, internal investments, expansion as well as third-party, relationships.
Bill Mastoris: Thank you very much. I appreciate the color. I, thanks bill
Operator: [Operator Instructions] Again, that is star one for any questions that concludes our question and answer session. I will now turn the call back over to Dan knots.
Dan Knotts: Great. Thank you. And thank you everyone. Joining us on the call today. A summary of our key takeaways from the call can be found on slide 15 of the presentation. in closing, I'd like to say thank you to all of our RRD employees around the world for your ongoing dedication to serving and supporting our clients in our company. great bulk of your focus, your energy and your commitment as we continue to learn and evolve in today's challenging climate. Please know your efforts are greatly appreciated. Thank you everyone, and have a great day. Thanks, as a reminder information to access and all your replay of our first four spending spending on besides coal can be found on the investor section of our website@rd.com. Thank you for joining us and that computes to RRD first quarter 2021 earnings called
Operator: That concludes today's conference. Thank you for your participation. You may now disconnect.